Operator: Welcome to the global conference call of Daimler. At our customer’s request, this conference will be recorded. The replay of the conference call along with the presentation slides will also be available as an on-demand audio webcast in the Investor Relations section of the Daimler website. The short introduction will be directly followed by a Q&A session. (Operator Instructions) I would like to remind you that this teleconference is governed by the Safe Harbor wording that you find in your published results documents. Please note that our presentations contain forward-looking statements that reflect management’s current views with respect to future events. These forward-looking statements can be identified by expressions such as assume, anticipate, believe, estimate, expect, intend, may, plan, project, and should. Such statements are subject to many risks and uncertainties, examples of which are set out in the Safe Harbor wording in our disclosure document. If the assumptions underlying any of these statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date on which they are made. May I now hand you over to Dr. Michael Mühlbayer, Head of Daimler Investor Relations and Treasury. Thank you very much.
Dr. Michael Mühlbayer: Good afternoon, this is Michael Mühlbayer speaking. On behalf of Daimler, I would like to welcome you on both the telephone and the Internet to our full-year results conference call. We are happy to have with us today the Chairman of the Board of Management and Head of Mercedes-Benz Cars Dr. Dieter Zetsche; the CFO Bodo Uebber; and the head of Daimler Trucks Andreas Renschler. This morning at the annual press conference Dr. Zetsche and Bodo Uebber presented our figures in detail. The speeches and charts are available on the Daimler website. Therefore we will start the conference call with a short introduction focusing on our Q4 results to have more time for Q&A. Now, I would like to handover to Dr. Zetsche.
Dr. Dieter Zetsche: Thank you, Michael Mühlbayer. Good afternoon ladies and gentlemen. Let me start off with a summary of our 2011 full-year results and our fourth quarter figures. Next I’ll briefly discuss our long-term strategy and targets and I’ll end with our outlook for 2012.
 : We posted revenues of revenues of €106.5 billion, EBIT of €9 billion from ongoing business and net profit of €6 billion. As a result our earnings per share rose to €5.31. Those very good earnings are also reflected in the significant increase of value added to €3.7 billion in 2011. In the full-year 2011, we delivered an industrial free cash flow of €1 billion after a €2 billion pension contribution and €0.7 billion investment in Tognum. Accordingly, our industrial net liquidity remained at the level of €12 billion at the end of December. Summing up these are excellent results. And given our very solid business performance we will propose a dividend of €2.20. That equates to more than 40% of our net profit. In this way we want our shareholders to participate appropriately once again in our financial success. We anticipate a continuation of this dividend development in the coming years. As you already know our full-year results pretty well. Let’s take a closer look at the fourth quarter of 2011. To make it short, it was the successful conclusion of a record year for Daimler. Our unit sales rose by 14% to 596,000 units. All of our divisions contributed with double digit sales increases. Our group revenue increased by almost €2.7 billion to €29 billion. Our EBIT from ongoing business was €2.2 billion, up 22% over the previous year’s result. Despite our ongoing high level of investment in the fourth quarter we posted an industrial free cash flow of €1.2 billion. Now let’s turn to the major developments at our business unit. Mercedes-Benz cars, sales rose by 11% to 376,000 units in the fourth quarter. Revenue was up 7% to €15.1 billion, slightly lagging our sales improvement. We posted an EBIT of €1.2 billion which corresponds to a margin of 8.2%. Fourth quarter EBIT benefits from higher volume and better pricing. However, it was also influenced by higher material and R&D expenditures as well as product launch costs. Development at Daimler Trucks are also compelling. Sales were up more than 20% during the last quarter as were revenues at €8.2 billion. Order intake in Q4, 2011 was 118,000 units. That’s 13% higher than Q4 2010. Despite triple-digit million euro burdens for the launch of the new Actros, Daimler Trucks did reach an EBIT from ongoing business of €554 million with a corresponding clean EBIT margin of 5.5%. All regions of our truck business contributed to this result. Advance sales improved by 22%. The division posted an all-time revenue record of €2.7 billion this quarter. EBIT of €256 million was very much supported by strong sales with the return on sales of 9.4%. Thus the division again exceeded its target margin of 9%. While Buses delivered a very strong quarter with a 13% increase in sales and an in EBIT of €109 million which corresponds to a profit margin of 7.9%. For Daimler Financial Services, it was another very good quarter, with new business up 21% and contract volume 13% higher. EBIT from ongoing business improved to €295 million. In sum, 2011 proves that we continue to make further progress toward our target return rates despite our high level of investment in new products, technologies and market. With the exception of Daimler Buses, all of our business units improved on their margin of 2010 in 2011. Vans and Financial Services has even already reached or surpassed their targeted returns for 2013 and there is more to come in future. We are targeting sustainable growth and top position in all our business areas. In doing so, we rely on our key strengths of the Daimler Group namely a unique full-line product portfolio of premium cars, trucks, vans, buses and services, the world famous Mercedes brand, the anchor of our overall sales success and our competence as the technology leader. We’ll bring the potential that results from combining those strengths to bear in the coming years. For that we have to find four strategic growth areas for the individual divisions and the group. First, strength in our core business in traditional markets. Second, developing new markets. Third, building on our leadership position in green technologies and in safety. And fourth, developing and implementing new mobility content, implementation of our strategies and progress in all areas. And we will pick even more speed this year. The key success factor will be the ongoing renewal and extension of our product portfolio. In 2012, we will show further increases in sales and revenues. At the same time, we keep going with our excellence programs in all divisions. In short we are staying on track towards our 2013 profitability targets and we continue to invest in the future. Next we expect to accelerate growth due to our full product pipeline and we continue striving for operational excellence at all levels of the value chain to sustain our profitability levels. We have set clear, medium and long-term sales targets for each business unit. For MBC, our sales growth are at least 1.6 million cars by 2015 excluding smart and sales leadership among premium manufacturers by 2020. At Daimler Trucks, we want to sell significantly more than 500,000 trucks by 2015. For vans, we are aiming for global sales of more than 400,000 transporters by 2015. For buses, we are targeting sales of about 40,000 buses by 2015. And for Daimler Financial Services we plan for growth inline with our industrial business. Our Group strengths along with sound strategies defined in each division such as Mercedes 2020 for embassy and global excellence for trucks will help us to meet our business target. We are confident we have the plans, products and people to get the job done. To give more detail of our plans in Mercedes, I invite you to join us at our Mercedes Division Day in Hungary on March 29th where we’ll also celebrate the start of production at our new plant. Now let’s turn to our outlook for 2012. We expect modest growth in world economy of only about 3% this year, that’s mostly due to economic uncertainties in Europe which affects the auto and commercial vehicle markets. The good news is that US economy is on demand and growth is still sound in the BRIC countries. As outlined this morning, we expect a further sales increase of cars, trucks and vans and ongoing growth in contract volume and new businesses and financial services. At Daimler buses we anticipate a slight decrease in sales primarily due to lower demand in Latin America. Furthermore, we will continue to invest in our future in 2012 in new products, new markets and new technologies. Of course there will also be constraining factors such as higher material costs. That said, the full year 2012 we expect Daimler Group EBIT from ongoing business to be in the magnitude of our record breaking 2011. At our divisions this means for Mercedes-Benz cars, EBIT at the same level as 2011. For trucks, vans and buses, EBIT at or above the 2011 level. And for Financial Services, EBIT slightly below the 2011 level. All these outlooks are of course based on current market expectations and exchange rate climate. Now, we will be happy to answer your question.
Dr. Michael Mühlbayer: Thank you very much Dr. Zetsche, ladies and gentlemen, you may ask the questions for now. I will identify the question by name, but please also introduce yourself with your name and the name of the organization before asking your question. Two practical points; firstly, please avoid using mobile phones and secondly please ask your question in English. Before we start the operator will explain some procedure.
Operator: (Operator Instructions)
Dr. Michael Mühlbayer: Okay. And we take the first question from Jochen Gehrke. Mr. Gehrke?
Jochen Gehrke - Deutsche Bank AG: Three questions from my end. First of all, could you help us understand on your guidance of flat profits; how you think this will play out through the course of 2012 and maybe first half versus second half development knowing that historically at least Mercedes typically starts rather on a weak side; now you facing a relatively high comparison base in the first half. Is this really in both key divisions trucks and Mercedes more optimism on the second half development or is this flat profit development something that you’re already seeing in the first half of the year? Secondly, on the trucks side, on the Latin American market, you noted minus 10%, minus 15% assumption for the current year and also here, how biggest that’s going to be a drag for the truck profitability? And I think in the last two years this was one of your most profitable markets; where do you stand with inventories in the market with Euro III trucks and how do you see the transition going? And then finally a question from Mr. Zetsche you noted today that Mercedes should be the number one premium manufacturer by volume. Now that was stated many times in the last months, and could you help us to understand why this is such an explicit goal and is it something that Mercedes should be striving for to be the biggest. I know that you have several high targets at the same time, but don’t you feel that three German car manufacturers surging for the same volume, is actually contradicting itself with regards to profitability in the years going forward? Thank you.
Dr. Dieter Zetsche: Thank you for the questions. As you mentioned for the third question specifically that I should answer it, I guess that the first one should be answered by Bodo.
Bodo Uebber: Okay and Jochen to your question, first I would like you to Mercedes-Benz cars of course you know we have a normal seasonal pattern each and ever year, means first quarter is normally the weaker quarter in the year and that is true also for the year 2012, so we don’t see any specific developments then the ones you see normally in Mercedes-Benz cars. In trucks, it’s a bit different; in trucks for Europe and for Latin America we see a soft start, so the first half of the year should be softer than the second half; of course and that is something which you will see also in the development of the EBIT. Beside this of course, the NAFTA region is strong as we also said from a market point of view, 15% to 20%. There of course we see a normal pattern also in our market development.
Dr. Dieter Zetsche: Mr. Jochen in addition to that, in Brazil you asked about the inventory that’s changed from the Euro III emission to Euro V from January 1st. In December, we saw some pre-buy effects mainly from the dealers. Now we see that the inventory at the dealers is going down. So the first half of the year will be a little bit softer, because now the question is when are the Euro III overall stock is gone from all manufacturers, so our expectations is that the Euro V demand will stop more or less than later; I would say, beginning in the second quarter, middle of the second quarter and the effects will be then in the second half of the year. In Europe, in addition we had a break in our plant because of the final implementation for the Actros new. As you may remind, or I can remind you that we are making a close launch of the new Actros; no, we’re not building, we’re building Actros in the same production lines. So we have to make a shutdown from December until January. So this will also affect of course in this business model. Now to the third part of your question, I try not to make a long story out of this answer. The main issues are that first of all, obviously the market value of a company is defined by its profitability and its growth potential; so it’s both. And I think in recent years, we were lacking a little bit on the latter part and that’s what we are addressing. And secondly, when our claim is to be the number premium manufacturer, it is very difficult to ask you how you can justify this position if you make a footnote except for sales. In the end, the customers are ultimate judge on your competitiveness and as long as we can’t define the different segments to be active than from our peers which is unrealistic, we then have to be statistically chosen more often by our customers then our peers on the sales side. And there is another aspect; we are talking about B2C business, not B2B and especially in premium segment, the customer wants to be associated with a wining brand and for good or bad reasons, there are number of units being sold is the monthly Olympics which go on in the media with the winner who is the loser. And it will be very difficult to have an ongoing third position in this regard and still suggest to your customer that you are the leading brand to be associated with it. Now to make it very clear, we have intention whatsoever to buy volume or market share, but we want to further increase our competitiveness; I think we are on a good path to do so and the volume will be an automatic result of being more competitive than your direct peers. And therefore, you should not be concerned about our profitability targets which are at the same level as our volume targets and one will not be sacrificed or compromised for the other.
Jochen Gehrke - Deutsche Bank AG: So if I just may add on Mr. Uebber to what you said, now a weak first quarter and then profitability building of the year used to be the old Mercedes pattern 2011 proved different. So if 2012 going to be again at the same historical pattern and you are planning or in other words your flat Mercedes guidance really banks and therefore on a much stronger second half?
Bodo Uebber: Last year we gave you the example for third and fourth quarters, why they were weaker; so next year it would be the traditional pattern that the second and the third quarter are the stronger quarters than the other two.
Dr. Dieter Zetsche: It does not necessarily mean that the first one is especially weak one.
Dr. Michael Mühlbayer: Okay. Next in line is Philippe Houchois.
Philippe Houchois - UBS: The first one is, can you do some discussion in the market about the manufacturing cost in the new Actros and could you tell us honestly whether the manufacturing cost of the new is actually lower than the replaced model issue not to struggle with the higher production cost for that vehicle? Two, am I right in understanding then if I look at the Q1 production outlook for trucks its going to be down sequentially maybe something like 10% compared to Q4 volume that you had, but still remain higher than the Q1 2011? And last question will be on dividend, I think you’re the only company who does that, we see a dividend from the or a significant one a number of times in the past payment from the Simcoe to the parent that you used to pay out the dividend to the Daimler shareholders. Let me understand that, is it just transfer back of liquidity that you in the industrial cash you lend it to Simcoe and you repatriate to pay the dividend or is it basically, that the Simcoe was only to grow, not borrows cash and is cash negative, so are you borrowing from the market to pay the dividend, can you just and help me understand that mechanic?
Bodo Uebber: I do think I’ll start with the third question Philippe, its pure equity and profit related aspect. We, still the financial services business was roughly at 7% equity ratio, means when the net profit of the financial services arm is so high that our equity goes over and above this ratio including the growth we had in the portfolio. We are separating this equity and return it to the industrial side. That is the case what we are doing. Its not a -- as we always did over the years, we saw that always. And you see that in our bridge, liquidity bridge, you see this nice element of course because its good to use it for of course for the equity and for the industrial part of the business. We do that every year, so it means next year, if we do see another very good development of financial services which I do think we will see, so over and above we will generate, we will even return next year then to the industrial part; it will be not as high as in 2011.
Dr. Dieter Zetsche: The happy moments in the past where the flow was the other way around, when were below this threshold of 7% but this hopefully should be the exception.
Bodo Uebber: Your question about new Actros by shop, if you compare €5 to €5 the new Actros is up, I mean it comes to the production cost lower; of course now we have start-up cost because of the volume is very low, but if then coming to full production the cost will be lower. If you compare €5 to €6 then you have to add the additional cost of course for euro sake.
Philippe Houchois - UBS: Of course.
Bodo Uebber: Production volume is in different region differently; in the US we are much higher compared to the first quarter in 2011. In Europe it’s a little bit lower, but truly inventory we build, sales will be okay, at least I mean, I am looking to January, in Asia it’s also higher production plant in the first quarter than compared to last year and Brazil will be also lower.
Philippe Houchois - UBS: But sequentially, should we be looking at what kind of magnitude of decline in Q1 ‘11 versus Q4, ‘11?
Bodo Uebber: 10% to 15%.
Operator: Okay. John Lawson is next in line.
John Lawson - Citi Investment Research: Firstly, you have been quite clear about changeover and expansion costs for the whole business in 2012, I mean, one of the reasons it’s a transition year. I just wonder whether you would envisage those costs falling away to any material extent in 2013 or is the difference that we should think about for next year really, mostly predicated on the full availability of new products? And second question on trucks, NAFTA is a very big component of your truck business. It was already hitting almost 30% of units and I guess it is getting bigger. Historically, the profitability was quite a bit lower at all stages of the cycle in the U.S. So I just wonder does NAFTA still is a high NAFTA revenue; still a negative mix you see for the trucks business? How you getting on with your attempt to sale more in house components like automated manuals in North America and I just wonder whether you really see a time when the NAFTA truck market could actually approach or even exceed the profitability of the European market? Thanks.
Bodo Uebber: To your first question, certainly it is correct. We will continue to launch new products at a high cadence and have high R&D cost to safeguard our future products pipeline. But at the same time, we are clearly benefitting more from the newly launched vehicles. And secondly, the growth of course puts the relative levels of spending into a better and lower level as far as percentage of R&D spend and CapEx are concerned. In this regard, we can consider the year 2011-‘12 as the peak years of investments into the future on a relative basis and easier situation in the years to come as far as the bottom-line is concerned.
John Lawson - Citi Investment Research: Okay.
Dr. Dieter Zetsche: Your question is NAFTA; after the restructuring program we went through the last couple of years, we have positioned our brands totally differently and we’re on the way to achieve our mid-term profitability target. When it comes to 2012, we will see the first effect, because thanks to our global footprint, NAFTA is growing, Europe is maybe weaker, 0% to minus 10% and so NAFTA should be able to compensate the overall situation much better than in the pie. So NAFTA has a good chance. It depends of course on the market development like we see it today, which the growth potential have a very good chance.
Operator: Okay. Next in line is Horst Schneider.
Horst Schneider - HSBC Trinkaus & Burkhardt AG: I have got two questions. And first of all, in your guidance, you only referred to the global light vehicle sales but not so specifically to the premium market. So maybe could you give us some guidance what you expect in terms of premium market growth globally for 2012 and could you also say if you aim to outperform the global premium market even in terms of growth? Then second question that I have is with regard to the price rebate; we heard recently that you have stepped up a bit incentives on the B Class and I think also on the E Class you provide some higher incentives now. So I would like to ask if that is just related to the launch effect that the B Class that you provide already now somewhat incentives on the B Class and will that disappear again in the future or will it remain that high as it is now? And may be you can elaborate in general then on the pricing environment in the premium car market. And the last question that I have is, you announced yesterday that you have now I mean that Aabar has even increased its stake now in your company, so will that change anything in the Supervisory Board, so Aabar be represented in the Supervisory Board now and can we expect the further increase of its stake maybe to a blocking royalty level? Thank you.
Dr. Dieter Zetsche: Before the last question might create any confusion, I would suggest that Bodo first answer the last question and then I come to the other two.
Bodo Uebber: It’s the other way around, Aabar notified that the number of Daimler share is physically owned by them have decreased to approximately 32.7 million shares; its equivalent to a shareholding of 3.07%. That is in connection with the respective shareholding notifications we need to. Aabar also informed us that it has the right to redeliver of the difference between approximately 32.7 million shares it physically owns and the 96 million shares it originally acquired. And in connection with its shareholding, Aabar entered into a series of financing transactions that I do think leads to that confusion as of February 1, 2012 the new rules require separate incremental disclosures of certain elements of these transactions which led to double counting with respect to parts of the Aabar’s total shareholders holding. Aabar’s overall investment remains as it was at 9.04%. They today have no Board seats in the supervisory board and of course this transaction will not lead to that they will be in the Board.
Dr. Dieter Zetsche:
 : In the fourth quarter of 2011, we have seen a lower incentive level than in the third quarter and our plan for 2012 is to further decrease the level of incentives. And when you go to specific markets for instance where there are publicly at least the portion which is publicly seen, noted and as you can see that for instance in the fourth quarter in December again, we are below our direct peers as far as incentives are concerned in spite of a very strong growth pattern, for instance January with 25% in the (inaudible). So I think overall our incentive development is very a positive one in the sense of declining incentives. Our plan is to continue to do so that is always related to the lifecycle of the specific vehicles and when you have a runout situation in B-Class, you typically will see some pick up the specific area, but with the introduction of the new B-Class incentive level will significantly decline and the improvement in the fourth quarter and the foreseen improvement in the first quarter 2012 relate for instance to the introduction of the new M-Class and the B-Class specifically. So overall the situation looks pretty encouraging.
Horst Schneider - HSBC Trinkaus & Burkhardt AG: Okay. Could you might quantify to which extent incentives have moved down in 2011 versus 2010?
Dr. Dieter Zetsche: We do not specify these numbers because they are highly competitive. I want to say that would be an anti-trust issue. So you won’t get an answer there. I can tell you that our net pricing in 2011 has increased.
Dr. Michael Mühlbayer: Okay. Next in line is Stuart Pearson please.
Stuart Pearson - Morgan Stanley:
,:
 : And then finally just on currency or maybe just update us on where the long dollar and renminbi position you plan on for 2012 and 2013, how much of that is currently hedged and when that hedging was most recently done. Thank you.
Dr. Dieter Zetsche: Well starting with incentives again, of course we are not talking just about a top down targets and then wonder whether it will happen. But on the other hand or just the opposite, we collect with a general guidance of trying to decrease our incentive levels, the bottom up data from all markets relative to all product segments. And therefore of course we are aware who will launch, where, what product against us and what is the kind of impact that might have on our competitiveness and pricing capacity. Talking specifically about the C-Class, we see the market react to the facelift of our C-Class like to a new product. So we have excellent demand for the C-Class across the board. That applies to the sedan, to the station wagon. We never had shares of the station wagon compared to our sedan and compared to the station wagon sales of Audi and BMW which were specifically high in the case of Audi as good as they are today. And new Coupé has been a very strong pull from day one. So at that point of time, our sales performance in the C-Class is defined by our plant capacities which is a good situation and certainly diminish the impact of a totally new III series. But it is existing and we calculate it within our forward planning.
 : We addressed that, we have grown significantly the latter channel and diminished the first ones, which of course altogether has some limiting factor on our overall market share development, but that’s intentionally and it’s a good thing because it improves our resale values and our overall pricing capacity in Germany. As far as China is concerned, we do expect the market to again show a double-digit growth at lower level than in the past year especially as far as the premium segment is concerned. So we still see an over proportional growth in the premium segment, but it was extremely high in the last year compared to the volume growth. In this environment, we plan to have at least this growth or better and we think that’s a realistic market share gains and that’s what we’re shooting for in China. We had a relatively weak January as you’ve noted, but this was no surprise to us whatever because of a number of one-time effects, fantastic December, shutdown in our plants or no supply. There are some custom issues. So a number of specific issues for January and we expect February to be in line with our overall expectation again.
Bodo Uebber: Coming to your last question with regard to currency and how much we are hedged. In 2012 we are 85% hedged for the US dollar, for 2013 45% and we have a base hedge for 2014. The 10 percentage points of the 2012, 85% we hedge in the last four weeks.
Operator: Okay the next question we take from Thierry Huon please. 
Thierry Huon - Exane: To come back to the Forex situation, I noticed this morning that you said that your Forex impact was negative in 2011. Could you quantify this impact and could you tell us what you are expecting for 2012 given what you just said and I also wonder what could be the trend for the capitalized R&D in the next two years, for this year and for 2013? Thank you.
Bodo Uebber:
 :
Thierry Huon - Exane: Is this already included in the guidance or is it going to come?
Bodo Uebber: As we said.
Thierry Huon - Exane: Okay.
Bodo Uebber: The account planning numbers for R&D for the years 2012 and 2013 combined for Daimler are €10.9 billion and for CapEx €10.6 billion.
Thierry Huon - Exane: And the capitalized part will increase or will decrease.
Bodo Uebber: We had, you see these numbers in the factory please where you see all capitalization ratios. We had last year, a slight decreasing capitalization within Daimler Trucks and a slight decrease in capitalization also in Mercedes-Benz cars.
Thierry Huon - Exane: But for this year or next year, what we should expect?
Bodo Uebber: For next year we will inform you then in the first quarter about the numbers.
Operator: Okay. Next question is coming from Daniel Schwarz.
Daniel Schwarz - Commerzbank:
 : And second question on the US Trucks, you recently announced hiring of additional employees in the US. Which quarter do you expect production to peak in 2012 or is it a sequential increase quarter by quarter and this morning in the press conference you mentioned a Chinese investor has above 1% in Daimler, below 5%. Did that happen lately or is it far away?
 : And second question on the US Trucks, you recently announced hiring of additional employees in the US. Which quarter do you expect production to peak in 2012 or is it a sequential increase quarter by quarter and this morning in the press conference you mentioned a Chinese investor has above 1% in Daimler, below 5%. Did that happen lately or is it far away?
Bodo Uebber: Daniel, maybe to your last question, the investor that’s half a year ago roughly, the period upto the stage.
Dr. Dieter Zetsche: Mr. Schwarz, your question is to the order intake situation, indeed we have from our point of view a more sustainable development there. And of course in these numbers order intake for Mercedes-Benz Trucks is also, the order intake of fresh deploys, where we have had in the past and we have now a very good position in some other markets that helps us here. So we see there also in January the same trend. It's not that I am satisfied totally, but I am not unsatisfied with the order intakes in Europe. When it comes to the US, when do we achieve the peak in the production? It's more or less a sequential increase over the quarters because we have to ramp up all other things when you hire new peoples at Daimler, so it will be over the quarters a ramp up. And there was one question before. I forgot to answer the penetration rate by, the colleague is still on the phone. The penetration rate in the United States for Heavy Duty Engine is around 90%, very successful. In actuals, we are between 30% and 40% in a increased mould and we have still some potential for the upcoming years in transmissions and of course in the medium-side engine.
Daniel Schwarz - Commerzbank: In Europe, it's not that you experience that Volvo and Scania are much less competitive ones on the pricing side than they were in the past?
Dr. Dieter Zetsche: I don't know if I am able to answer any pricing question actually there. But it's very clear that the pricing pressure here in Europe is still ongoing, what surprised us in the development of last year at least. We had in the first half of the year some loss in market share, find it back and so the pricing pressure or competitive situation is still very severe.
Dr. Michael Mühlbayer: Okay. Now we take Fraser Hill. 
Fraser Hill - Bank of America: I just wanted to return to the truck that you had talked about NAFTA compensating from a margin perspective for the weakness in LATAM and in Europe. What does that therefore imply in terms of the NAFTA margin relative to your target for that business and is all the improvement in the profitability level in NAFTA in 2012 in your mind just coming from the operational gearing or are we actually seeing some benefits from your restructuring coming through that? Further on trucks looking at Fuso. Where did you get to in terms of margins on Fuso? How close are you to this? I think it was 5.5% margin target and do you still reiterate your intention to deliver that margin or take a more radical strategic approach to Fuso later in 2012? Second question, if I could just on vans, obviously very impressive margins and the revenue growth has been surprisingly positive. So what's actually driving the margin up to this 9.5% level? Again is there a mix dynamic here or is it again just a very strong volume coming through and how should we think about the further revenue growth in 2012 from a product and geographic perspective?
Dr. Dieter Zetsche: Your question about the NAFTA truck market, it is very simple. It's of course the result of our restructuring or realignment program that we pursued in the organization in the last couple of years. Without that we would be not in the situation where we are in. This is not only the cost question, cost is one thing. We decreased it. If you remember we opened a second facility in Mexico and a lot of other things. But it's also the question of how we position our trucks there. In the mean time we are a very clear there, the fuel efficiency leader. That means we put also investments into our products and in the same kind, we increased our after sales business including our increased penetration rate. So all this together opened us the potential to have of course a higher volume, that helps. But with a total different cost basis, so the question there is very simple and the challenges that we are able to make it sustainable and to have a sustainable profitability over the years and we will see now in the year 2012 when we are coming close to a normal year condition, that we are going to achieve step by step in the midterm of our regional benchmark position in the United States. Fuso was despite the big disaster we had there, positive, very simple. The first quarter was very good. It was of course something that when you have to stop three to four months production, then you are ramping up again. So you could see it also in the Japanese market development. We have got a very good position in Southeast Asia with Fuso, Indonesia and other markets. And we will see this year, we are not disclosing as you know the results or forecasts on division level. But it will be profitable and on the way to achieve the margin you mentioned before. As far as vans are concerned, let me state two main issues. One is that in the van business, we have the cycle which is 10 years rather than 6 to 7 years in major renewals, which is based on two main product lines and now gives you longer phases of strong harvesting with good cash conversion rates and so on. We are definitely in the space after the last facelift of the Vito and Viano. We are now in a very, very competitive situation product wise. Quality is finally perfect from our plant in Spain, so we were able to gain almost two percentage points market share with Vito and Viano while maintaining our pricing discipline and perhaps even improving it. At the same time, this enabled us to be even more selective on the Sprinter size again based on a very strong product accepting a slide market share decline, which we will recover this year and at the same time further improving our sales contribution with these products. So a strong product, good timing in the cycle. That is the one answer to your question, but the other one is that van is the perfect example of for the benefits of Daimler. The van business strongly benefits from the overall modeler strategy on the car side and uses of course with its driveline components, but beyond that, there overall box, we have for components for our Mercedes cars. But on the downstream side, it has basically the unique opportunity versus their peers to use strong car sales network and a strong commercial sales network to address the private and the commercial customers and that is the absolute unique situation. That's why I'm convinced that our van business is by far more profitable than the one of any competitor.
Dr. Michael Mühlbayer: Thank you. Next question we will take from Christian Breitsprecher.
Christian Breitsprecher - Macquarie: Christian Breitsprecher from Macquarie. I would like to go back to the fourth quarter result in the truck business which was at the face of it rather weak in terms of margin. I know most of that is related to the actual switchover, but could you put again some numbers behind it, how much was the burden in the fourth quarter, how much of it was related to the shutdown of the [Vance] plant and how much of the headwind do you face in the first quarter 2012?
Bodo Uebber: Like we said already, I think it was the third quarter as well we have 300 million impact of the launch of Actros mainly in the second half year and two-third of it was in the fourth quarter. And you see the same, you will see the same dimension of cost in 2012 through the year, because we are launching you know a whole family and this is done every, whatever 10 to 12 years so last two like we call it internally that means the delivery truck will stop this year and then we can see the effects also from 2012.
Christian Breitsprecher - Macquarie: And this 300 million in 2012 is then evenly spread out over a year or is it primarily hitting the first quarter?
Dr. Dieter Zetsche: Spread out through the year.
Christian Breitsprecher - Macquarie: And the shut down of Vance from mid December to mid January is that included in this 300 million or is this the lack of contribution of that phase coming on top?
Dr. Dieter Zetsche: The impact in December was not as high because we produced the trucks before. Like we said the production outcome in January is compared to last year for example a little bit lower, because we had to stop production two weeks later. So the impact like I said before will be in the first quarter.
Christian Breitsprecher - Macquarie: And then last kind of coming on top of the 300 million?
Dr. Dieter Zetsche: Because its loss contribution.
Dr. Michael Mühlbayer: Okay. The next question we take from Stephen Reitman.
Stephen Reitman - Societe Generale: In terms of you to following your overall retail distribution activities there, its been an important organization and the Mercedes manufacturing organization? And secondly, a question on the guidance on Mercedes passenger cars and I have noted what you said about you expect to grow your unit sales faster than the 4% growth you expect for overall vehicle sales growth worldwide. And you also have mentioned that I believe so and quantified the impact of currency if we had the planning rate of 130; we know you have headwinds of about 200 million or so over and above of the headwinds you booked in 2011 relating to the sort of likely changeover the whole A and B story and alike. So I am wondering if you can just give us some more granularity in your thinking of where the risks or what actually prevents you’ll more positive on earnings development for 2012 Mercedes passenger cars? Thank you.
Dr. Dieter Zetsche: You please give us the first half of your question only heard something respective our owned and third party retail business, but I don’t know what your question really was, the transmission started only later.
Stephen Reitman - Societe Generale: Of course. My understanding is that there had been some issues relating to your distribution strategy in China and relating to some lack of discipline on pricing between imported vehicles and locally manufactured vehicles? And I know you’ve been working quite hard try to fix this issue. I just wonder if you can give us some updates on your progress in that respect?
Dr. Dieter Zetsche: Thank you. As China is concerned, you know that we had two totally independently working sales organization for imported cars and for locally produced cars. They were obviously working with the same brand and the same dealer distribution, but on different channels with different agencies and not aligned to growth as you see in targets. That was not a good situation. We have traced that and have been able to form a virtual integrated sales organization which is now much better aligned. This has helped us already considerably to work on the pricing capability, on the discipline and dealer network, on the right mix between the different products and all of that. So the development in the second half of 2011 was very promising, does mean that we totally overcame this issue by now, but we are very optimistic that we will see further progress in this regard. Ultimately, we are targeting legally unified sales organization, but that’s obviously in this environment a task which takes some time to be realized. On the second part of your question, we have said that, yes we see good growth potential for 2012 for passenger car business. On the other hand and we mentioned this since quite some time that in our own cycle, seven year cycle, ‘11-‘12 are the most challenged in terms of the years that we have lots of spending into further expansion of the product portfolio of CO2 reduction, all of that while the benefits, the harvest of the spending we made is not fully available. This will then be much better in 13-14 years to come. That’s why we call 2012 kind of a transition year. We do believe that shooting for a flat earning at this high level of 5.2 billion is an ambitious task to go for. We see and I don’t want to go into much detail, for instance, incremental burden on the raw material side, which we think we can offset with the commercial productivity gains. But on top of that, we have content increases, mainly driven by CO2 activities; CO2 reduction, reducing activities of course and some further value enhancement of the vehicle, which we will not be able to fully compensate by our continuous improvement on the technical and commercial side on the build of material. And you mentioned already, the Forex aspect which in spite of all of our hedging will still be some burden. So putting all of that together, we do believe that we can repeat the strong earning of this year and go for 10% return in 2013, which was our target all the time, which we confirm.
Dr. Michael Mühlbayer: So next in line is Arndt Ellinghorst.
Arndt Ellinghorst - Credit Suisse: Arndt Ellinghorst from Credit Suisse. Just a quick question on your….
Dr. Dieter Zetsche: Arndt, would you give me just one chance; I was not quite correct as far as Forex is concerned, with the more recent incremental hedging which was already mentioned we are now rather able to have slight benefit from Forex compared to ‘11 then a disadvantage, so didn’t want to leave that in the room. Thank you.
Arndt Ellinghorst - Credit Suisse: Okay, thank you Dr. Zetsche. And my first question was on your actual visibility in your order book and whether you could give us probably by division how much of the visibility you actually have in Mercedes trucks and vans and buses if you look at your orders? And then secondly, I think the surprise of the day is how confident you are on Mercedes especially you mentioned positive net pricing, positive volume effect for this year, I guess your mix should also be quite positive this year; so what was it really that led you to go for a flat earnings performance of Mercedes in 2012? Thank you, these are my two questions.
Dr. Dieter Zetsche: Thank you for the questions. As far the first question is concerned, the visibility based on orders is especially high on the truck side, because almost all sales are related to orders; whereas in the – and I am not talking about accessing the order level, but just how much do we learn from order income. On the car side, there are portion of cars being sold basically from stocks from the dealer is increasing for the whole industry over the road and therefore orders give us less and less clear indications. Still, we see a strong confidence of our sales organization based on the order intake. The new product as I mentioned already, B&M Class, but as much for instance the strong C Class and other segments clearly contributing to that level of confidence which definitely supports our positive attitude towards 2012. And to answer the second at, to trucks and buses, I could add for vans, still that we had very high order intake in January and very positive story of 2011 at least for the time being seems to continue in 2012. Your second question, I think I partially tried to address by answering the question before, but I can try to briefly repeat. We have volume increase. We are confident that we can overall improve, not dramatically, but likely our net pricing capability. And we do not see a positive mix development, because we see now increase based on towards the B Class and later in the year the A Class; availability increase of the compact segment in our total sales. But as I mentioned before, mostly the very high levels which contribute a significant piece of incremental cost in 2012 versus 2011. Secondly, the content increase in 2012 versus 2011 per vehicle, and thirdly, to a lesser degree raw material increases which we still see in for the total company in a magnitude of up to 400 million are major building blocks of this cost pressure which we have to overcome by higher revenues and of course by productivity gains we are working on.
Bodo Uebber: You question in addition on the trucks side and the bus side, on that side more less in all the different regions where we are looking into orders from customers that means beside Brazil, because there the hotel is the same thing like auto. We are looking into April already in all the divisions; in the US its between May and June already so that’s the reason we are increasing that capacity. In the buy side, its traditionally a very slow start, because as you know public or cities overall are ordering buses mainly through the end of the year. But its more or less the same lower production volume, the bend lower production volume in the first quarter is also already filled.
Arndt Ellinghorst - Credit Suisse: Yes, I am asking this question because obviously you came out with a pretty confident guidance for the full year and its becoming clear that its geared towards the second half of this year. And I am trying to understand how much is actually, really already filled with orders that gives you that confidence for relatively high hurdle to beat for 2012?
Bodo Uebber: Again, if you look the whole world, its driven by the United States because there we have of course very order intake when you look to the first quarter. Its also in Europe its not as weak as a lot of whatever colleagues have expected. So we see us on the way that we wish the order intake we can fulfill, what we told today in the morning.
Dr. Dieter Zetsche: We have time left for one more question here. And we’ll take Kristina Church please.
Kristina Church - Barclays Capital: It’s Kristina Church from Barclays Capital. Just a couple of questions; firstly, just coming back to the Mercedes walk down, obviously with revenues up significantly and EBIT flat and assuming that EBIT margin will be down year-on-year. I was just wondering how much grace you do need on the revenue side in order to achieve that flat EBIT given all the cost that you are talking about? The second question is back to a straight point on China, but more specifically, just on the China financial services business, I was wondering what your grace expectations are there; are you expecting financial services to become a much more important part of China, the China great story or will it still be very small in the early days? And then finally on trucks, I just wanted to clarify whether your guidance or your outlook for the market in Europe was supposed to be flat or for it to be flat to down 10% and if the European market were down 10% would you still expect to have us that trucks EBIT? Thank you.
Bodo Uebber: To the first part of your question, as we said our flat earning guidance is based on the assumption of market development of about 4% plus and sales performance which is at least at this level with an ambition to slightly improve market share. So that’s our top line assumption we are making, certainly on top of that defined by our Forex assumption which we mentioned as well.
Dr. Dieter Zetsche: Kristina coming to your question of China financial services business, of course its decided that we are supporting in this market, in this growing market, also the industrial side, no doubt. We will grow in the vicinity of more; expect growth more than the industrial side, because we will also increase our penetration there as the young market where we developed 2010 to ‘15 from 10% penetration to roughly 15%. And that will of course further grow. To keep it growing, of course, we need to organize our financing. Financing is something which you know, that in China, got regulators so to say last year. We have some ideas how to work together with some other banks on one hand and to the starting of our leading business, again with a different structure would give us a possibility to even grow in that sector even more.
Bodo Uebber: Kristina to your other question, when the European market is going down 10% and you said flat that EBIT is the target and is included in this kind of statement.